Operator: Greetings, and welcome to RBC Bearings’ Fiscal 2024 First Quarter Earnings Call. At this time, all participants are in a listen-only mode. Question and answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your Josh Carroll with Investor Relations. Please go ahead.
Josh Carroll: Good morning and thank you for joining us for RBC Bearings fiscal 2024 first quarter earnings conference call. With me on the call today are Dr. Michael Hartnett, Chairman, President, and Chief Executive Officer; Daniel Bergeron, Director, Vice President and Chief Operating Officer; and Robert Sullivan, Vice President and Chief Financial Officer. Before beginning today’s call, let me remind you that, some of the statements made today will be forward-looking and are made under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those projected or implied due to a variety of factors. We refer you to RBC Bearings’ recent filings with the SEC for a more detailed discussion of the risks that could impact the company’s future operating results and financial condition. These factors are also described in greater detail in the press release and on the company’s website. In addition, reconciliation between GAAP and non-GAAP financial information is included as part of the release and is available on the company’s website. With that, I will now turn the call over to Dr. Hartnett.
Michael Hartnett: Thank you, Josh, and good morning to all, and welcome to the RBC conference call. While I’m pleased to report that our net sales for the first quarter of 2024 were $387 million. This represents an increase of 9.3% from last year. For the first quarter of 2024 sales of industrial products represented 69% of our net sales with aerospace products at 31%. As footnote, over the past 10-years, revenue growth at RBC has been made at the compounded rate of 14.7%. Gross margin for the quarter is 167.9 million or 43.4% of net sales. This compares to 141.2 million or 39.9% for the same period last year, a 350 basis point improvement from last year. Clearly, we are tremendously pleased with the gross margin expansion. Overall that is a clear result of increased volumes in our aerospace product plans, coupled with the impact of many components of Synergy Achievement from the Dodge acquisition. Given this trajectory, we can report that we plan now to finish the year with gross margins in the low to mid-40% range. I want to take a moment here and thank the RBC teams for their excellence and execution, both in the plants and the offices, as well as the top grades received for customer satisfaction. It is you and your title is intention to detail, to make the difference and create a strong preference for the RBC and Dodge branded products in the aircraft and industrial markets. So thank you all for a job well done. Adjusted operating income for the period was 85.3 million or 22% of net sales compared to last year of 68.3 million and 19.3% respectively, a 25% improvement. Free cash flow was a strong $55 million. This has allowed us to reduce debt by over $450 million since the acquisition of Dodge in November of 2021. We now have achieved a net debt to EBITDA ratio of 2.84 over trailing 12-months down from 5.65 from fiscal 2022. So, RBC has grown EBITDA at a compounded rate of 15.2% per year over the last 10-years. Adjusted EPS was $2.13 a share and 19% improvement from last year. Adjusted EBITDA was 120.4 million, 31% of net sales compared to a 100.7 million and 28.4% of net sales for the same period a 20% increase. Overall we are encouraged by the cultural fit now that exists between Dodge and the RBC and the environment of teamwork and camaraderie that has developed over the first 18-months since the acquisition, and more importantly, the future that this coupling has created. We look forward to finishing the year at about $1.6 billion in revenue. On the industrial business, during the period, the industrial sector growth was 4.7% against some strong comps last year. Last year, improved supply chain performance allowed shipments of late orders to customers creating a Q1, Q2 and 2023 sales bolt, that is behind us now. Dodge was a revenue leader in the industrial sector with a 9.4% expansion on a combined OEM and distribution sales. Importantly, several of our target market sectors expanded at a double digit rate over the period. These include oil and gas, food and beverage, and forest products. We expect this to continue for the balance of the year, driven by world events. On aerospace and defense overall, we saw an expansion rate of 21.2% with commercial aero OEM up 26.5% and commercial distribution up 35.9%. Defense was up 7.9%. OEM defense was up 11%. Jets, missiles, helicopters, and Marine were the drivers. Aftermarket was down 3.3% mainly fighter jets. We have finally shaken off the bad dreams of the pandemic and the continuing endemic problems of the major builders. The demand drivers here as explained in past calls now are the large plane builders and their supply chain in support of production of Boeing and Airbus 787, 737 and A330 planes. And also the private aircraft builders and of course the many subcontractors who support to industry. Currently, we are building 737 materials at a rate of 38 per month, and new orders inbound at a rate of 42. On the 787, our current build rate numbers are three per month, we are building now and seven per month. We expect that order rate very soon. It is probably a little past due. As this typical of these products today, RBC generates 70% of its sales from sole source or single source positions. In summary, let’s go over the highlight reel. Q1 sales were up 9.3% for the period, EBITDA 120.4 up 19.5%, adjusted net income of 2.13 up 19%, full-year guidance revenues $1.6 billion, gross margins expected to be in the low of mid forties. Debt pay down since November 2021, $450 million, trailing EBITDA to net debt today is 2.84 from 5.65 in fiscal 2022, 70% of our revenues under replaced products consumed in use. And we are normally number one market share supplier of our products. And 70% of our business is either sole source or we are primary source for the product. Another point to mention is our backlog numbers. They are not particularly relevant. Probably 75% of our revenues never pass through our backlog. The aircraft business is done on a, where orders are received from a computer screen and shipped as received. And Dodge is working normally when they have a very small backlog, if any and shipments are made subject to orders received. And for the most part, it is a day or two within the receipt of that order. So regarding our second quarter of 2024, we are expecting sales to be somewhere between $380 million and $390 million range. And I will now turn the call over to Rob for more detail on the financial performance.
Robert Sullivan: Thank you, Mike. SG&A for the first quarter of fiscal 2024 was 64.7 million compared to 55.8 million for the same period last year as a percentage of net sales SG&A was 16.7% for the first quarter of fiscal 2024 compared to 15.8% for the same period last year. Other operating expenses for the first quarter of fiscal 2024 totaled 18.2 million compared to 20.9 million for the same period last year. For the first quarter of fiscal 2024, other operating expenses included 17.5 million of amortization of intangible assets, 0.3 million of restructuring costs associated with our California operations and 0.4 million of other items. For the first quarter of fiscal 2023, other operating expenses consisted primarily of 17.3 million of amortization of intangible assets, and 3.8 million of costs associated with the Dodge acquisition, partially offset by 0.2 million of other income. Operating income was 85 million for the first quarter of fiscal 2024 compared to operating income of 64.5 million for the same period last year. Excluding approximately 0.3 million of restructuring costs, adjusted operating income was 85.3 million or 22% of sales for first quarter of fiscal 2024 excluding approximately 3.8 million of acquisition costs. Adjusted operating income for the first quarter of fiscal 2023 was 68.3 million or 19.3% of sales. Interest expense for the first quarter of fiscal 2024 was 20.5 million compared to 15.8 million for the same period last year. For the first quarter of fiscal 2024, the company reported net income of 50 million compared to 37.4 million for the same period last year. On an adjusted basis, net income was 67.7 million for the first quarter of fiscal 2024, compared to 57.5 million for the same period last year. Net income attributable to common stock holders for the first quarter of fiscal 2024 website 44.3 million compared to 31.7 million for the same period last year. On an adjusted basis, net income attributable to common stockholders for the first quarter of fiscal 2024 was 61.9 million compared to 51.8 million for the same period last year. Diluted earnings per share attributable to common stockholders was $1.52 per share for the first quarter of fiscal 2024 compared to a $1.09 per share for the same period last year. On an adjusted basis, diluted EPS attributable to common stockholders for the first quarter of fiscal 2024 was $2.13 per share compared to $1.79 per share for the same period last year. Turning to cash flow. Company generated 61.7 million in cash from operating activities in the first quarter of fiscal 2024, compared to 59 million for the same period last year. Capital expenditures were 6.7 million in the first quarter of fiscal 2024 compared to 7.9 million of capital expenditures for the same period last year. We paid down 50 million on the term loan during the period, leaving total debt of 1.34 billion as of July 1st, 2023 and cash on hand was 56.7 million. Our net debt to adjusted EBITDA for the trailing 12-months is 2.84 compared to 3.06 at the end of fiscal 2023 and 5.65 at the end of fiscal 2022. I would now like to turn the call back to the operator for the question-and-answer session.
Operator: Thank you. [Operator Instructions] Our first questions come from the line of Kristine Liwag with Morgan Stanley. Please proceed with your questions.
Kristine Liwag: Good morning, guys. On the margin that you guys printed this quarter, I mean, is just I mean, I’m sorry, but it is just a monster margin. So my first question is, in hindsight, like, being able to generate margins, at 43.4% gross margin within about almost two years ownership of Dodge. In hindsight, like where were you surprised. Like one, were you really surprised that you can, you got this much margin expansion in short period of time? And then number two, can you give some color in terms of where that surprise could have potentially come from? I mean, this is a pretty meaningful change in profitability in such a shortage of time for a company that is becoming larger like yours?
Michael Hartnett: Sure. Well let’s put it this way. Kristine, we are pleased that the margin expansion that we have been able to achieve with the Dodge RBC combination since November of 2021. And are we a little ahead of our plan? I would say we are. Is there any one thing that we did to achieve that kind of performance? There is really never ever one thing that you can do. I mean, there is a whole series of things that has to be done in terms of, how to sort of tune up the performance of a business. And certainly looking at the price cost of your 80/20 items is really important thing to do first, right out of the base. And trying to understand, if you have a large revenue producer that has a smaller margin than it should have or that is acceptable, what to do about it. And so you have a lot of smart people in the system that have a lot of good ideas on how to correct things like that. And so you have lots of meetings with many people on issues such as that product line by product line to discuss what can be done in terms of operational per performance, what costs should be passed along to the marketplace, because you have experienced some pretty steep material charges from suppliers over the years and they weren’t passed along. And whether or not that particular product offered for sale is something you should even offer for sale. I mean, some products linger when they should die. And so it is, there is a certain coloring effect and that imbalance improves the mix. And I think the other thing is you look at all the entire customer base has various discounts associated with how they buy the product. And often those discounts haven’t been revisited in a decade. And so the revisitation of those discounts is another important part of the process. And finally having additional volumes going through our aircraft plants that have been sort of on standby since 2019 is extraordinarily helpful. So there is several components that are working together for us right now that are very positive. And we are on a very good path.
Kristine Liwag: And then you mentioned that backlog isn’t a great read through for the business now, especially with the book to ship aspect of the portfolio. So first, what have you had to do differently, if any, to be able to forecast demand and get your demand signals to your planning in your factory? And then second, how accurate has your methodology been in hindsight?
Michael Hartnett: Well, there is kind of two answers to that. I mean for the bulk of our business that is aircraft, it is pretty easy to understand what you should be building and have available for immediate delivery based upon your contracts and Boeing or Airbuss or Cessna’s build rate. And so you stay pretty close to the build rate. You understand what your bill of materials is for that particular airframe and you understand what your obligated to in terms of a statement of work. And if you revisit that monthly and you make sure that you have materials inbound and that you have the right load against your plants so that that product’s available when it needs to be available. And that is really the way that we got supplier of the year at Boeing is that is our process. When you look at Dodge, Dodge is a little different. Dodge is very dependent upon being able to do a great job forecasting the demand in their market sectors. And so over the years they have independently developed a process of being able to forecast the economics of a given market sector, which then translates down to build rates for items that are sold to that sector. And when I was first introduced to their methods, I was really kind of skeptical about it could be done that way, but it can be done that way and they do an amazing job with satisfying their customer base and making sure that the right product is available to the right customer at the right time. And I think when you tour one of our plants will show you how a plant with an offering of 10,000 line items, makes every line item available every day for shipment to a customer with sort of a minimal backup in inventory. It is really an experience to see how they do that.
Kristine Liwag: So in terms of your different end markets, can you provide the trends that you are seeing and where you see risks and opportunities regarding your full-year outlook?
Michael Hartnett: Yes. Well, I mean, we are, are we talking industrial or aircraft defense or all three?
Kristine Liwag: All, all of the above, please.
Michael Hartnett: All of the above. Well aircraft is, unless something different happens, we are pretty much dialed in on rate and materials and plant loading and plant staffing. We know what the program is and at the end of this year, we are going to be running hard to keep up. And that is the way that looks. But we will keep up, but it is going to be demanding for us in several of our plants. So that is the aircraft story. On the defense side, the Marine business is sort of one of the leaders in our defense program and we are busy building submarine components to service the Navy. And that is the number one defense priority is to build submarines and we are a big, big supplier in that category. So, our contracts are multi-year, multi-products, multi-million dollars, and they are in place. And our supply chain is working effectively. And things are starting to move through the plant just the way we like to see. So I think that volume will continue to increase as we start building, more assemblies, and shipping more assemblies. So we expect to see good growth in that sector going forward for the rest of the year. And then on the industrial side you know there is several important markets for us in the industrial business. And we have been doing a lot of study on this to understand, because there is so many industrial markets that we service which are the markets that are really material to us and which are the markets that have a substantial growth potential. And we see markets substantial growth potentials based upon, demonstrated consumption of our products, in food and beverage, forest products, oil and gas, mining and materials, and aggregate. And those are material markets for us that have we feel a double-digit, either they have demonstrated double-digit growth potential or there is something coming down the pike like the Infrastructure Bill that is going to encourage that potential. So those are the markets.
Operator: Our next questions come from the line of Peter Skibitski with Alembic Global. Please proceed with your questions.
Peter Skibitski: Good morning guys. Nice quarter. Just one follow-up on gross margin. It sounds like performance is a big part of the great result there. Just curious, Mike, because I know you have talked about pricing power being a tailwind for you due to inflation. On kind of a relative basis, relative to other factors, how much was pricing helpful to the gross margin result?
Michael Hartnett: Pete, I never broke it out. I do know that, a lot of our businesses, particularly Dodge, it was very supply chain dependent. And we saw substantial price increases from our supply chain for materials. And I know the pricing that we put through to the marketplace, to the best of our ability was it to at least neutralize what we saw for material increases. So, I mean that is all I have to say on that.
Peter Skibitski: And then just shifting to SG&A, you guys are running kind of 15-ish percentage of sales last year in SG&A and you are at 16.7 here in the first quarter and you are guiding into the 60s in the second. It just seems like something kind of flipped here on SG&A, I don’t know if it is an R&D bump or something, but could you give us some color there on what is been going on and if that is expected to kind of continue through the midterm?
Michael Hartnett: Yes. So, what we are seeing through SG&A is again, just some investment in organic growth throughout the different cost centers. We should see some leverage on that as we enter into the second half of the year. But in terms of what falls down to the operating income EBITDA line, if you look at adjusted EBITDA quarter-over-quarter even versus Q4, you are seeing 40 basis points of increase. So it is not all getting caught up in SG&A, it is flowing down.
Peter Skibitski: I guess last one for me, why did you guys decide for the first time to give full-year revenue guidance? Just I think I know the reason, but I’m just curious as to your thinking there. And I guess we are still expecting, I assume, kind of double-digit growth at A&D netting out and I don’t know, mid-single-digits or so at industrial. Is that kind of the way you are thinking?
Michael Hartnett: Yes, that is the way we are thinking. Every year we get into this situation where we have our second quarter and our third quarter are typically week quarters for us just because of the number of days, the number of vacations, the number of holidays, and so on and so forth. And so we end up explaining that to everybody ad [indiscernible]. And so we thought that it would be better just to say, hey, look at relax, full-year looks healthy. We have got two quarters that are typically weak and we know that, and we are expecting to have a very powerful fourth quarter bringing us to those kinds of numbers. So, we just wanted to sort of take a more offensive position on explaining, how the year’s laid out.
Operator: Our next question comes from the line of Steve Barger with KeyBanc Capital Markets.
Steve Barger: I have a gross margin question too. Mike, for the year, you said low to mid-40% range, which is incredible because that obviously includes 44% or 45 that would be a huge win relative to 43.4 this quarter. So can you talk about what the upper limit is when you say low to mid-40%?
Michael Hartnett: I’m going to let Rob do that, because he is always pulling on my collar.
Robert Sullivan: Look Steve, I mean, if you look even versus where we were at the end of Q4 and now where we are into Q1, I mean, we are seeing some significant step up and in gross margin. We feel 43 is a comfortable spot for us at this point. Obviously you have seen our playbook, we will continue to push the limits where we can. But that is kind of why we are saying low to mid at this point.
Steve Barger: Well, I know segment margins come in the queue, but with a 52% incremental operating margin this quarter, one or both of the segments must have been exceptional. Can you tell us which was the real outlier?
Michael Hartnett: Yes, you will see industrial gross margins were about 45% this quarter, so we haven’t even seen the full benefit of what aerospace is going to bring to the table as those plans start to push even higher. So that is where we have some upward mobility.
Steve Barger: And on the industrial side, another bearing company this week took guidance down saying it is industrial distribution and it is off highway customers are destocking even though they think that underlying demand will stay positive. Are you seeing any similar issues across the Dodge portfolio? And do you expect the industrial segment will remain positive from a growth standpoint each quarter this year?
Michael Hartnett: How did I know you were going to ask that question. So, after reading through the transcripts of the other bearing companies, I thought that, we should investigate the destocking issue ourselves internally, because I haven’t heard very much about it. And normally I would hear, I would get at least one or two panic phone calls if that were occurring. So we don’t see that occurring. We do see what is happened was last year the supply chain was still fragile and people were worried about getting the product that they needed to run their plants. So there was a lot of panic buying. So we had a backlog of many tens of millions of dollars that were shipped. As soon as we took the order, it was late. So it was passed through the minute they take the order. So, we didn’t have the product available because it wasn’t produced and yet we had this order that we could ship anytime. So because of the panic buying. So this year, the panic buying, I think people have more confidence in the performance of their supply chain. So we don’t see that at all. That level of panic buying and things are definitely back to normal. We suspect that is really what is going on.
Steve Barger: And so are you happy with your own inventory position relative to what you see for demand across both aerospace and industrial?
Michael Hartnett: Yes, we are. Actually I think we have a little bit too much inventory and we are going to, we are trying to bleed that down. And we got caught up in the supply chain problem too, where too much material came in because we had to go to several sources and then they all solved their problems and sent it in. So we will be bleeding inventory down for the most part, for much of the year, and particularly in the industrial businesses. The aircraft business is just maybe just the opposite, materials lead times are out to, from what is normal of 40-week material lead time to now it is 60 and maybe even more 70-weeks. So, we are taking sort of a more aggressive position to bring in safety stock of key materials to make sure that we don’t disappoint our customers.
Operator: Our next questions come from the line of Michael Ciarmoli with Truist. Please proceed with your questions.
Michael Ciarmoli: Good morning, guys. Nice results. I think, nice, gross margins. Before I try and dig into the gross margin a little bit more. Just I may have missed it. What was the year-over-year growth rate for industrial OEM and distribution if you guys have that?
Michael Hartnett: So industrial OEM was actually down 9.2% year-over-year, and industrial distribution was up 12.7%.
Michael Ciarmoli: Got it. Perfect. So just back to the margins, and I guess maybe to try and attack it another way, you talked about 41% to 41.5% this quarter, so sequentially, you made some really big improvements on down revenues. And you know, I know you talked about the aerospace volumes, but aero was down. Did anything changed quarter-to-quarter? Did you have a lot of contracts or pricing flow through or Mike, I think you mentioned kind of calling the portfolio and taking out some product lines, but it just seems to get this gross margin leverage on weaker sales sequentially seems pretty, pretty surprising too. So maybe anything kind of jump out recently here?
Michael Hartnett: Well, I think just to go through my list of the obvious. Certainly, we talked about the volumes in the aircraft businesses that is going to help us more and more and more of this year. Secondly, we have several processes that we were working on in 2019 and right before the pandemic. And we were early on the learning curve for those processes. And so we have had from 2019 to now 2023, to mature those processes and achieve and introduce volume. And that is happened in a few plants where the designs were very complex and required a disproportionate learning curve to get it to the pro forma gross margin that we were targeting. And so that two or three-years, where the where the volume demands were off, it was very helpful to maturing those processes. When the volume demands are on and you have immature processes, you don’t have the resources to mature them, because you are busy trying to ship product to a customer, who needs to incorporate that product and what he is producing. So that timeframe was very helpful. And also, I think we have in-sourced components that over the period, just accrued to the benefit of the margin.
Michael Ciarmoli: Okay. I wanted to actually ask on that. The status of the in sourcing kind of what inning are you in there? I know, I think you talked about at one point 200 million of savings, so it sounds like you are starting to see some of that benefit?
Michael Hartnett:
 O:
Michael Ciarmoli: No, I thought there was 200 million of product that door dodge source that you could potentially start sourcing internally. I thought that is what it would, no, I got the synergy side of it, but I thought you had flagged $200 million at one point.
Michael Hartnett: Well, there is a pool of 200 plus to choose from. And not all fits, but some does.
Michael Ciarmoli: Last one on the year, I think you were still calling or last quarter double-digit aerospace revenue growth and high-single for industrial as part of that 1.6 billion. Are those still directionally correct?
Michael Hartnett: That math works. I think industrial is maybe our goal has always been two times GDP, and, I think that is kind of where that fits.
Operator: Our next questions come from the line of Joe Ritchie with Goldman Sachs.
Vivek Srivastava: This is Vivek Srivastava on for Joe. Maybe just wanted to zoom in on the industrial side and particularly on the classic RBC industrial. Looks like sales decline, sort of mid-single-digit in the classic RBC industrial part. Just any color on what drove the decline? How does that growth in the classic business look going forward in the coming quarters?
Daniel Bergeron: I would say on the industrial cyber classic RBC on the OEM site. It was mainly driven by Semicon wind machine tool holders and cots warehousing. And I live on the heavy truck. So I think those - we just had a really hard comp to last year, and I think some of these markets are coming back and we should see some of them improve them in the second half of the year.
Vivek Srivastava: And then maybe just looking at the next quarter’s guidance just the low end of the sales would suggest industrial probably decelerates from here. So just want to understand what underpins the low-end, top-line guide assumption, especially on the industrial side.
Michael Hartnett: I think on the range, when we look how many production days are on the quarter compared to the first quarter, there is less amount of production days. So it kind of hits both the industrial side and the aerospace and defense side of the business. And then it all depends what big projects that we are shipping on the defense side, on the marine, and on aerospace, like the F-35 projects like that. And they could be lumpy quarter to quarter. So, that range is pretty wide to forecast some of that. And we kind of have the same impact in Q3 because of the holiday season. And in Q4 we have an extra five to seven production days. So, you are shipping an extra five to seven days of product for your businesses. So it is kind of a, when things normalize year-over-year, it is always that u-shaped effect when we are in a steep growth period, you don’t see it. But now the Dodge is integrated for a year. Now we go back to our normal kind of routine that we have with seasonality, mainly driven by production days.
Vivek Srivastava: And maybe if I can squeeze one last one, just a more longer term question on the industrial business. You have talked about two times GDP growth and always trying to like attack some of the smaller green shoots across the businesses. Maybe highlight some of the green shoots that are helping your industrial business right now in this current environment and for the upcoming like two, three quarters? Thanks.
Robert Sullivan: I think we talked about where we saw quarter to quarter growth in some of our markets and that was food and beverage forest products, oil and gas, mining and aggregates. Those are all very strong markets for us. And so in part, what we have to do is make sure that our resources are selling and field resources are aligned, are properly aligned with those markets so that we can benefit in their growth. And this is probably some organizational tweaking that has to be done to achieve that. On the oil and gas side, we are pretty much capped out on capacity, manufacturing capacity to service that oil and gas market right now. And so we are working to add capacity which in our industry that that takes a little while because it is machinery and the machinery has to be built. And so we would expect to see additional capacity online for that business by late fourth quarter. So to some extent, that is one sector that is a material sector for us in terms of scale that is, it has some capacity constraints.
Michael Hartnett: I will add one more to it. Just to give you an idea of some of the green shoots that we work on. One is the space industry. So in 2021, we shipped around $4 million of product into space. Last year we shipped in 10 million, and just the first quarter of this year, we shipped four million. So that is over about 15 different RBC facilities participating in that market, such as one of many, green shoots that these guys are working on kind of driving volume.
Operator: Our next questions come from the line of [indiscernible] with Bank of America.
Unidentified Analyst: So I just had a quick question. With the step up coming for the aerospace OEM production rates, would you guys be able to give more details on ship set value or any increased content you guys are expecting?
Michael Hartnett: We don’t publish our ship set content, but we are picking up market share on different platforms on both the commercial side and the defense side. Our bigger ships for us would be like the 737, the 787, the 777X, the F-35 and of course, we have a significant content on our marine programs under Virginia and the Columbia, subs for the Newport News and Electric Boat.
Operator: Our next questions come from the line of Kristine Liwag with Morgan Stanley. Please proceed with your questions.
Kristine Liwag: Hey, guys. Thanks for letting me back into the queue. So maybe now that, we have had a few - you guys have had a few quarters of Dodge already almost two years and the leverage is approaching manageable levels and Dodge is integrated. What is your appetite to restart the M&A pipeline? And historically, you guys have wanted to be 50% aerospace defense, 50% industrials. What is your appetite today, and what does that pipeline look like?
Michael Hartnett: Well, obviously with those ratios improving to that extent and they will continue to improve through the balance of this year, our appetite an acquisition in aerospace defense is good. And so we are looking where we need to look and trying to evaluate what is the right, what is the right partner to quote. And so that whole process is starting over again now.
Operator: Ladies and gentlemen there are no further questions at this time. I would now like to turn the call back over to Dr. Hartnett for any closing remarks.
Michael Hartnett: Okay. Well, thank you. And, I appreciate all the discussion today on RBC. I hope we got a chance to explain our business a little bit better and what the future looks like. And we will speak again in November. Good day.
Operator: Thank you. That does conclude today’s teleconference. We appreciate your participation. You may disconnect your lines at this time. Enjoy the rest of your day.